Operator: Good morning, ladies and gentlemen, and welcome Aspira Women's Health Incorporated Third Quarter 2021 Conference Call. My name is Paul and I will be your coordinator for the call today. At this time, all participants are in a listen-only mode. Following management’s prepared remarks, we will open the call for your questions. As a reminder, this conference call is being recorded today. Leading the call today are Valerie Palmieri, President and Chief Executive Officer; Rob Beechey, Chief Financial Officer; and Dr. Lesley Northrop, Chief Scientific Officer. After the prepared remarks, we'll open the call for Q&A. Before we begin, I would like to remind everyone that statements made during this call, including the Q&A session relating to Aspira’s expected future performance, future business prospects or future events or plans are forward-looking statements as defined under the Private Securities Litigation Reform Act of 1995. Although the company believes that the expectations reflected in such forward-looking statements are based upon reasonable assumptions, actual outcomes and results are subject to risks and uncertainties that could differ materially from those anticipated due to the impact of many factors beyond the control of Aspira. The company assumes no obligation to update or supplement any forward-looking statements, whether as a result of new information, future events or otherwise except as required by law. Participants are directed to the cautionary note set forth in today's press release, as well as the risk factors set forth in Aspira’s most recent annual report and second quarterly filed report with the SEC for a description of factors that could cause actual results to differ materially from those anticipated in the forward-looking statements. At this time, I would like to turn the call over to Valerie Palmieri, President and Chief Executive Officer. Valerie?
Valerie Palmieri: Thank you, operator. Good morning, everyone, and thank you for joining us today. This morning, we will review our third quarter 2021 accomplishments, financial performance, as well as provide an update on our core strategic developments. Our end in mind is to truly transform women's health, starting with ovarian cancer. Our goal is to eradicate late-stage detection of ovarian cancer and ensure our solutions will meet the needs of women for all ages, races, ethnicities and stages of disease. We seek to develop a lifelong relationship with each patient from puberty to cure, ensuring each woman has access to the best-in-class diagnostics. This morning, I'd like to make comments on our core operations, provide an update on our pipeline, as well as an update on managed care progress and our government affairs initiative. First, I would like to address a recent departure from our Board, Dr. Sandra Brooks. Dr. Brooks has resigned due to family reasons, which limits her time and availability. We wish Dr. Brooks well as she deals with the family's situation. And thank her for the many insights and support she has provided our team. I am now going to begin with a review of our core business. We are reporting third quarter OVA1 plus revenue of $1.6 million, an increase of 33% over the same period in 2020, and 6% decline sequentially from the second quarter of 2021. This is a result of significant COVID-related access restriction in July and August 2021 in key markets. Our OVA1 plus product volume was 4,281 tests, which represented in 90 -- an increase of 19% compared to the same period in 2020 and a 6% decrease sequentially compared to the second quarter of 2021. We believe our 2021 Q3 product volume was significantly impacted by restricted access and customer office closures in the summer timeframe, and specifically in high-volume areas such as Michigan, Florida, New York and Kentucky. In these areas, our team had an 18% reduction in volume and a 19% reduction in physician events as a result of COVID. In terms of COVID access, we categorize each sales territory relative to access restrictions with a green, yellow and red designation. This represents over 90% access for green, between 55% to 75% access for yellow and under 50% access for red respectively. At the end of the third quarter, the green territories represented only 13% access, yellow was 66% access and red was 20% access overall. The total number of ordering physicians in the third quarter of 2021 was 2,914 an increase of 20% compared to the same period in the prior year, and essentially flat sequentially from Q2 2021. The total number of new physicians in the third quarter of 2021 was 444, an increase of 13% over the same period in the prior year and up slightly sequentially from Q2 2021 or 1.6%. Both total and new customers in Q3 2021 were impacted due to decreased access due to COVID. Volumes are starting to pick up and are trending higher in September and October, with a volume on a units-per-day basis of 63.2 in July, 66 in August, 71.6% in September and 81.1 in October. We believe this recent growth is a combination of our commercial investment as well as increased patient visits. For October, we also had a record number of new physicians of 214. As we have previously shared one of our strategic objectives is to increase awareness of our brand and product to drive adoption. Our marketing function has implemented a series of new strategic digital initiatives, including paid search social and display media. Some of the key statistics, we are tracking are as follows. Paid search has driven over 35,000 clicks to the website since the launch in May. This is a click-through rate of 2.67%, which is above average. Social media engagement on media platforms such as Facebook, Instagram and LinkedIn have increased triple digits year-to-date and our followership has increased double digits on a year-to-date basis. Our display media helped drive awareness and created a halo effect that made our paid search more effective. As a result of these initiatives website traffic is up triple digits on a year-to-date basis, with a 239% increase in new users. In addition organic search is up 761% on a year-to-date basis. These stats indicate that our initiatives are growing our awareness. In addition, we are focusing on select geographies and have seen progress as a result of a multiple-front approach in some beta markets in Q3. This includes marketing support with commercial activation, KOLs, strategic partnerships, digital media and paid media. More to come on this front. I'm now moving on to review our decentralized software algorithm platform known as Aspira Synergy. We are making progress and now implementation phase for two of the largest gynecologic networks in the US. We recently announced we have entered into additional technology transfer agreements which now include a total of four technology transfer agreements since the launch of Aspira Synergy. Two of the agreements are with two of the nation's largest and leading independent women's healthcare groups incorporating more than 750 providers and more than 950,000 patients annually. The other two agreements which are in the implementation phase, are with two independent laboratories providing service across five states. Dr. Northrop will share further comments shortly. I will now move on to provide an update on our core strategic developments regarding our pipeline, payer and evidence development as well as government affairs. First, I will start with our pipeline of products. Our pipeline is built for aiding gynecologic health providers with personalized solutions during the entire patient lifecycle, starting with benign disease such as endometriosis, to ovarian cancer diagnostics, to suspected benign mass management and any which women who are planning for pelvic mass surgery. I am now going to start with our endometriosis update as well as our EndoCheck breakthrough device program application. As we previously reported, we have two pharmaceutical company specimen contributions, which demonstrates the critical need for a diagnostic test. The collaboration between each of ObsEva S.A. and AbbVie Incorporated with Aspira represents a mutual dedication to create solutions to help the 67 million women in the US suffering with endometriosis by radically improving the time to diagnosis as today it may take seven to nine years for a diagnosis. We believe EndoCheck will allow patients to have their endometriosis detected earlier and potentially to be treated more effectively and perhaps without the need for unnecessary surgery. In late October, the FDA Centre for Devices and Radiological Health issued an updated guidance for the content or pre market submission for software contained and medical devices specific to artificial intelligence, machine learning based software as a medical device action plan which will provide a much needed framework for such Aspira Future devices. We are currently working to ensure our EndoCheck development process is aligned to the proposed framework. We are still in communications with the FDA regarding a breakthrough device program application. Importantly, the FDA has acknowledged that there are many compelling reasons why this type of device is needed for both the treating physicians and for patients. As discussed previously, the FDA indicated they're very interested in continuing to work with Aspira and EndoCheck and we will be continuing our discussions with the agency on the breakthrough device designation. We believe EndoCheck will allow patients to have their endometriosis detected earlier, enable their physicians to further personalize their treatment plans and potentially enable more effective treatments without the need for unnecessary surgery. We expect to make a determination on our optimal regulatory path forward by the end of this year. I am now moving on to our second technology I'd like to update you on which is our proof-of-concept study, which we've been working diligently with the teams at Dana-Farber, Brigham and Women's, and the University of Lodz. The evaluation has met the acceptance criteria; and based on the outcome data, the Aspira Innovation Team, along with the collaborators from the institutions, have begun the implementation of Phase 2. I am now moving on to OVASight. We have determined that we will be branding the test as OVAWatch, which we believe is more descriptive of the utility of the test. The test was developed through a rigorous scientific and clinical-based process based on data from New York State LDT and from our FDA regulatory processes in over 3,000 patients. As you know, we have estimated this product would launch in Q4, 2021. As part of the process, we need to do additional scientific and market review. We are just wrapping up an analytical validation manuscript and we'll be submitting it to a peer-reviewed journal. In fact, our goal is to have more than one peer-reviewed publication with robust data prior to launch. As this careful work progresses, we will adjust our scheduling accordingly. To that end, we are also continuing our perspective zero monitoring clinical study and ultimately plan to publish data demonstrating the clinical validity of OVAwatch as a serial monitoring test by the end of 2020 to early 2023. We believe this product has the opportunity to have three times the total market opportunity as OVA1 not including the serial monitoring option. I am now moving on to an update regarding our payor and evidence development. And we have a number of updates. During this past year, we have been working on a large 12 month to 24 month outcome study of OVA1 clinical utility. This study is specifically aggregating and analyzing data from the multiple sites that are participating in the study. The data from the study sites will represent a broad section of the country in a diverse population of women. The company expects to submit a manuscript to a peer-reviewed journal with the results in Q1 2022 and publish in Q2 to Q3 of 2022. The purpose of this study has demonstrated the impact OVA1 testing has on patient outcomes compared to the broader CA125 single marker assay using 12 months to 24 month follow up data. It will measure the impact OVA1 has on patient care, including both clinical and cost measures, which will be included in the published results. This manuscript will be supplementing our current peer-reviewed publications including the OVA1 impact on the quality adjusted [indiscernible] paper and our budget impact model paper for pairs. I am now moving on to our clinical benefits guidelines, as we discussed on our last earnings call. OVA1 technology is now considered medically necessary according to AIM specially health's clinical appropriateness guidelines. Notably, they have not included a competitive product called ROMA and their guidelines. And consider it still to be investigational and experimental. AIM is a member of the Anthem BlueCross BlueShield family of companies which promotes optimal care through the use of evidence based clinical guidelines and real time decision support for both providers and their patients. We have commenced a targeted program to obtain contractual coverage with all of the AIM member plans. We have now increased our covered lives during the third quarter to a total of 194 million. This is an 8% increase from our prior reported base of 179 million covered lives. In addition, we are making strong progress on the Medicaid front as Aspire has now credentialed in the top five states by Medicaid populations, which are ranked in the order of Medicaid beneficiaries. They include California, New York, Texas, Florida and Pennsylvania, bringing the total credential national Medicaid population for OVA1 to nearly 61 million, which represents approximately 77% of the total US Medicaid population. And it addition as an adjunct to the recently announced coverage of OVA1 by the state of New York for its Medicaid population, two of the largest managed Medicaid plans in the state of New York have adopted a favorable policy for OVA1 and are now under contract to provide access to OVA to an additional 4 million covered lives throughout the state. Specifically, we have entered into an agreement with health first, New York's largest not for profit health insurer offering Medicaid plans, Medicare Advantage plans, Qualified Health Plans in individual and small group plans. Health First serves 1.7 million members in New York City, Long Island, West Chester, Sullivan, Orange and Rockland Counties.  Health First is a pioneer of the value-based healthcare model where hospitals and physicians are paid based on patient outcomes. We have also entered into an agreement with Fidelis Care, which is one of the largest managed Medicaid plans in New York, with 2.3 million covered lives across the state. Further Aspira Women's Health is now contracted with Highmark of Delaware for the Medicare Advantage membership. This will ensure that women in this plan will have access to the OVA1 technology. Overall, our market access strategy is making significant progress with our reaching 194 million covered lives, representing 59% of the lives in the U.S. And we believe inclusion in the AIM and Evercore guidelines, along with the increased access to both Medicaid and Medicare Advantage plans, provides us with further validation and credibility in our discussions with all payers. We expect this momentum to continue as we prepare to submit the latest evidence on OVA1 clinical utility with 12 to 24 month outcomes. I am now moving on to our government affairs front. We are continuing to gain momentum following our congressional briefings in March and September of 2021. The company is actively engaged with members of Congress and several advocacy organizations including HealthyWomen, the National Ovarian Cancer Coalition, the Ovarian Cancer Research Alliance, and the Black Women's Health Imperative, in an effort to increase awareness about OVA1 and ovarian cancer and encourage legislation that provides financial support for additional clinical trials, as well as our focus on diversity in trials. This also includes discussions on trial requirements for adding the company's ovarian cancer technology into guidelines, such as the U.S. Preventive Services Task Force, which would support the company's objective to launch a product that is broadly applicable as a high risk screening tool in time. We are also engaged with multiple state legislators about Medicaid in their states, as well as national coverage determination for Medicare for OVA as part of the expanding access. In addition, the company is also working on the Medicare Innovative Technology Initiative to obtain coverage and reimbursement immediately following any FDA breakthrough approval for any of its products. In summary, we continue to work on our overall strategic goal, which was to emerge from the pandemic stronger, our team is now much stronger on all fronts with a solid financial position. We believe we are well positioned to invest, to grow and to drive adoption, and most importantly save lives. I would now like to hand the call over to Dr. Lesley Northrop to provide an update on our momentum to becoming the standard of care and driving the awareness of our technology. Dr. Northrop?
Lesley Northrop: Thank you, Valerie. In support of our multi-omic approach to developing diagnostic tests in women's health, we have entered into a partnership with Genoox, one of the world's largest community-driven genomic data platform, to develop solutions to advance women's health and rapid results, diagnosis and insight. Genoox’s global platform brings together all publicly available genomic information, allowing for the complete analysis of the data and better patient care. We plan to leverage this knowledge base to expand our proprietary algorithm development across multiple product lines. Further to Valerie's comments on our high-risk early detection program, I would like to update you on is the proof-of-concept study. We have been working diligently with the teams at Dana-Farber, Brigham and Women's and University of Lodz. This study included specimens from our enriched biobank. One-third were malignant across all stages, as well as benign and healthy controls. We were able to quantify the MicroRNA expression levels and confirm that the MicroRNA biomarkers demonstrated the same performance in our independent sample set as previously published in the eLife publication in 2017. The evaluation met the acceptance criteria and based on the outcome data, the Aspira innovation team, along with the collaborators from the institutions have begun implementation of Phase 2. With this initial stage day pack, the team is proceeding to evaluate the combined potential impact of our protein biomarker algorithms, coupled with this new MicroRNA technology in the development of this assay on a new platform, which we believe will set the foundation for a non-invasive diagnostic in ovarian cancer. We plan to further validate the same technology as a high-risk of ovarian cancer application and genetically predisposed women which is currently in a clinical study for OvaInherit. We anticipate that we will have preliminary data in early 2022 to support the verification of a multiomics approach in detecting ovarian cancer. Please keep in mind this is a long-term phase product. And we are delighted to be working with world class institutions in the development of this assay, which we believe will have a significant impact on women's health in ovarian cancer. We continue our utmost commitment to increasing provider awareness and education to our medical affairs team, this team has hosted multiple successful highly attended educational series and are currently launching gynecologic and gynecologic oncology advisory boards, directed at better management of pelvic masses and improvement ovarian cancer early detection. Regarding clinical studies, we are continuing to recruit more academic sites to support both the clinical validity and utility of our tests. We have also launched our physician initiated research program for healthcare systems I'm incredibly excited about the direction of our clinical studies. And we continue to build our study program to strengthen the data around our products. We have recently completed a study combining data from our Philippine and U.S. clinical studies of diverse race and ethnicity. Preliminary data supports that use of single-biomarkers such as, CA-125, and HE4 has varying average values across different ethnic groups, resulting in increased false positive and false negatives of ovarian cancer malignancies. These biomarkers were validated and Caucasian population as were their standard cut off, which do not translate to non- Caucasian women. The abstract is in the process of submission to achieves. I would now like to hand over the call to Bob, to provide our financial update. Bob?
Rob Beechey: Thank you, Dr. Northrop. First quarter 2021 OVA1 revenue was $1.6 million, an increase of 33% over prior year and a 6% decline sequentially. The 33% product revenue increase is primarily due to lower number of tests performed in 2020 due to COVID-19 as well as an increase in OVA1 average revenue per test in the third quarter of 2021, compared to the prior year. The revenue per OVA1 plus test performed remains flat at $377 for the first quarter 2021, compared to the second quarter of 2021. The year-on-year price increase was 11% compared to the prior year, third quarter of $338, included in the overall average price per unit is 12% volume associated with Medicaid at a unit price of $94, which we expect to increase overtime, as we increase credentialing and coverage. The average unit price excluding Medicaid was $410 during the third quarter. Excluding patient direct out-of-pocket and Medicaid, we realized an average unit price of $486. Gross profit margin on OVA1plus was 57% in the third quarter of 2021 compared to 44.9% in the prior year and 52% in the second quarter of 2021. The year-on-year increase was driven by volume improvement, while the second quarter gross profit included one-time costs related to a switch in kit centers that did not recur in the third quarter. Research and development expenses for the three months ended September 30th, 2021 were $1.5 million, an increase of $47,000 or 3% compared to the second quarter 2021. Our R&D investment increased 155% year-over-year or $595,000. This spending was focused primarily on product development costs related to OVAwatch as well as investments in bioinformatics, investments in Aspira Synergy and consulting expenses associated with EndoCheck regulatory clearance. Sales and marketing expenses were approximately $5.1 million for the three months ended September 30th, 2021, increased by $1.1 million or 27%, compared to the second quarter in 2021. This increase was primarily due to increase personnel and consulting costs as we execute upon our commercial strategy. The prior year sales and marketing expense of $2.2 million was depressed due to lower travel and entertainment and commissions and did not reflect the current investments we were making in market awareness and the sales team additions. General and administrative expenses were $3.8 million for the three months ended September 30th, 2021, an increase of $560,000 or 17% compared to the second quarter in 2021. This increase was primarily due to an increase in headcount, personnel expenses, as well as stock compensation expenses. We incurred $2 million in general administrative expenses in the prior year quarter. Included in the third quarter 2021 general administrative expenses is $645,000 of non-cash stock compensation expenses as compared to $343,000 in the prior year, driven primarily by the market value of our stock grants. We ended the third quarter of 2021 with approximately $44.9 million in cash. Cash used in operations in third quarter of 2021 was $7.9 million, which included a number of one time investments. Included in the third quarter were investments in recruiting services of $550,000. Consulting services, including approximately $243,000 associated with EndoCheck FDA assistance; $264,000 for data that is being leveraged for managed care and commercial targeting; $128,000 for one time legal fees; $69,000 of IT fees associated with the build out of the Synergy platform; and $40,000 associated with season support a congressional briefing in government affairs activities. I will now turn it back over to Valerie.
Valerie Palmieri: Thank you, Bob. Before we open up the call for Q&A, let me restate our optimism for building the company for sustainable growth for the near-term and the long-term. In parallel, we are executing on our larger mission to serve the 20 million women in the US, starting with ovarian cancer risk assessment, pelvic mass monitoring, and eventually tackling the largest disease, endometriosis. Keep in mind, our high-risk ovarian cancer application for genetically predisposed women OvaInherit, which is currently in development would be incremental to this market, because it would be for women with and without a mass. Ovarian cancer accounts for more deaths than any other cancer of the female reproductive system and is the only gender-specific cancer with greater than a 50% mortality rate. Our work and products are at the forefront of changing the standards of care and detection of ovarian cancer malignancies. We believe we are helping close the gap in detection and more importantly survival for women. In the near-term, we believe OVA1plus with our diversity differentiation and genetics will become the standard of care in personalized pelvic mass risk assessment for ovarian cancer. For the longer-term, we are moving forward with EndoCheck for endometriosis; and lastly OvaInherit for high-risk genetic predisposition monitoring. Our end in mind is the incorporation of proteins genes and other modalities to detect gynecologic disease, which cannot be detected via a traditional biopsy. In time our goal is to become the liquid biopsy standard for these diseases inclusive of all ages stages and most of all ethnicities. With our enhanced team financial position and robust portfolio in development we could not be more confident across the business. It is now time that all women of every race and ethnicity receive the best possible care and we are proud and excited to make that happen. We are now happy to open up the call for Q&A and answer any of your questions. Operator? 
Operator: Thank you. We will now be conducing a question-and-answer session [Operator Instructions] Thank you. Our first question is from Brian Weinstein with William Blair. Please proceed with your question.
Brian Weinstein: Hey, good morning guys. Thanks for taking my question.
Valerie Palmieri : Good morning. Brian.
Brian Weinstein: So I thought we'd start very near-term and then branch out through some a couple of questions here. So I really appreciate the commentary on green, yellow and red and some of the volume trends there. Just wanted to get some idea on how you're thinking about the back half of the quarter. We've heard repeatedly from companies throughout the earnings season that there's a little bit of concern relative to potential increased vacation time and office closures regardless of a resurgence of COVID if that happens or not. So, just trying to gauge whether or not you expect those positive trends to continue through the year. I know you're not giving formal guidance here, but as we try and tweak our model a little bit for Q4 and then into early 2022 just trying to get a gauge on how you're thinking about the trajectory of the recovery.
Valerie Palmieri: Yes. I think it's a really good question because in early summer we saw acceleration of COVID, but we also saw acceleration in markets that didn't have COVID. We saw acceleration of lack of physician events, right? So in terms of the holiday season coming up, I guess, it's hard to tell, but I have to say we're very pleased with October and you see it all over the news that people are finally able to get together for Thanksgiving or Christmas. So will there be more celebration and more time off from a physician office? It could be. We did see it in the summer. And as I said in markets that were not as subjected with COVID, we saw lower physician events. And what I mean by that is just lunches and face-to-face time. It's still happening but it definitely was lower in key markets. So I do – right now it's all systems go but seeing what happened in the summertime, I would not doubt if clinicians are also going to be enjoying time with their families because of this long-haul with COVID.
Brian Weinstein: Okay. We've had some conversations you and I about obviously, all of the great things that you guys have done to build a very strong infrastructure. And as we sit here now with I think it's just under 200 million covered lives Medicaid coverage that's fairly significant, a sales force that's more than doubled data that's built up here. I'm just curious about what else do you guys think you need to hit that inflection that you and I have talked about previously in cases at this point? It feels to me like the stage is really set. So is it fair to say that 2022 is a year where we should see barring any kind of COVID headwinds that return really a nice inflection in how we're thinking or how you guys are seeing volumes starting to roll through?
Valerie Palmieri: Yes. I would say that really comes down to four levers. Number one, is access, right in terms of COVID increases but I think we're learning to live with COVID. The second is our sales rep efficiency. Right now we have 11% of our sales force that has less than three months. We have 47% are in that four to six months. And we like to have two quarters of sales reps to have two quarters behind them till they get to full tilt. So sales rep efficiency is number two. Number three, we have price. Number four is we have implemented what I call regional market plans where we're focusing on the commercial activation, KOLs, strategic partnerships and digital and paid media. So I see all four levers moving in unison. And I do think that with the sales team getting to be more mature and we're hiring a great team I do think that the upside in 2022, we will continue to build momentum and really make a stand from not only adoption but as you pointed out from a payer standpoint and I'm talking both commercial and government payers. So no we're very excited about a very positive 2022.
Brian Weinstein: Got it. And then the last one for me. The data talking about superiority of OVA1 versus CA125 continues to build. And I think at some point that you guys were talking about formally submitting to ACOG and trying to get some sort of superiority designation, specifically in the guidelines. And I might have missed this if you addressed this during the prepared remarks, but where does that stand? And how important would that be if something like that were to play out?
Valerie Palmieri: So, a couple of things. Yes, that is our ultimate goal is to get superiority over CA125, because right now we're equal in a sense. And it's a multi-front approach from -- I want to say the diversity data, which really initiated out of the Philippines. We have a very exciting ACOG abstract that has been submitted. So yeah, I think part of it's diversity. I think part of it is -- I want to say that it's government affairs. I think there's a time of Congress now paying attention, not that they weren't paying attention to women's health, but I think there's some renewed interest in women's health. And I do think that taking this data on diversity to ACOG is one of the most important things. In fact we have made this diversity program one of the number one initiatives of our company and having taking that to ACOG as well as using thought leaders behind that as well. So, that is the ultimate plan is to take it to ACOG and get the guidelines stating that OVA1 is a product that can actually measure ovarian cancer risk in the top races and ethnicities and we're starting with the black population and also the Filipino study that we'll be releasing shortly.
Brian Weinstein: Okay. Great. Thanks guys. I appreciate it.
Valerie Palmieri: Thank you, Brian.
Operator: Thank you. There are no further questions at this time. I would like to turn the floor back over to Valerie Palmieri for any closing comments.
Valerie Palmieri: Thank you, operator. In closing, we believe that our accomplishments during Q3, set us up nicely for the remainder of 2021 and beyond. We are focusing on doing the right things to drive sustainability and profitability and growth. With our increased commercial footprint, a guideline-endorsed and differentiated test a portfolio of tests within the same call point and now over 59% of lives under coverage in the US, we believe we are in position to support continued growth and profitability. Q2 and Q3 were investment quarters, with the addition of sales representatives in new territories as well as the design and development of marketing materials and content. We are confident these investments will result in meaningful returns and will be impactful to our success in driving the OVA portfolio to become the standard of care. Our end goal is to serve a large global public mass population and overall women's health market with a platform coupled with proprietary science and data tools, which will drive better health and well-being to each and every patient we serve. Thank you for joining us today, and we appreciate your support and interest in Aspira Women's Health.
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation. Have a wonderful day.